Operator: Good day, and welcome to Retail Opportunity Investments First Quarter 2023 Conference Call. Participants are currently in a listen-only mode. Following the company's prepared remarks, the call will be opened up for questions.  Now I'd like to introduce Laurie Sneve, the company's Chief Accounting Officer.
Laurie Sneve : Thank you. Before we begin, please note that certain matters which we will discuss on today's call are forward-looking statements within the meaning of federal securities laws. These forward-looking statements involve risks and other factors which can cause actual results to differ significantly from future results that are expressed or implied by such forward-looking statements. Participants should refer to the company's filings with the SEC, including our most recent annual report on Form 10-K to learn more about these risks and other factors. In addition, we will be discussing certain non-GAAP financial results on today's call. Reconciliation of these non-GAAP financial results to GAAP results can be found in the company's quarterly supplemental, which is posted on our website. Now I'll turn the call over to Stuart Tanz, the company's Chief Executive Officer. Stuart?
Stuart Tanz: Thank you, Laurie, and good morning, everyone. Here with Lori and me today is Michael Haines, our Chief Financial Officer; and Rich Schoebel, our Chief Operating Officer. As reported in our press release, Laurie Sneve is retiring in a couple of weeks. Laurie and I have worked together for over 20 years, first at Pan Pacific and then for the past 11 years here at ROIC. I am truly grateful for her invaluable contributions with some guidance and leadership over the years. She will be missed by everyone at ROIC and all of us wish her the very best in her retirement. With Laurie retiring, Lauren Silvera will become Chief Accounting Officer. Lauren joined ROIC back in 2013 as the company's Corporate Controller and has been an important part of the ROIC team for the past decade. Mike, Rich and I look forward to working with Lauren in her new role. Turning to our first quarter results. Our grocery-anchored portfolio and tenant base continue to perform very well. In fact, in terms of leasing activity, notwithstanding our portfolio being essentially full at over 98% leased at the start of 2023, we achieved the most active quarter in the company's history, leasing a new quarterly record amount of space and driving our portfolio lease rate to an all-time high at quarter end. Additionally, we again achieved solid re-leasing rent growth. In fact, it was our 45th consecutive quarter over 11 years in a row of achieving re-leasing rent growth on both new leases and renewals. Speaking of renewals, we posted our most active quarter by far in terms of renewing tenants, including long-time valued anchor tenants as well as a broad range of strong non-anchored tenants. Many of our tenants continue to reach out to us early to execute renewal options with a growing number looking to extend past the typical five-year option period.  We think the renewal activity is indicative of the strength and long-term appeal of our grocery-anchored portfolio with its strong location attributes and demographics. It is also indicative of the strength of our tenant base today.  Dampening our record-setting leasing during the first quarter, we had several expenses that impacted FFO and same-center NOI. Most notably, we incurred an inordinate amount of snow removal costs primarily as a result of the unusual severe snowstorms up in the Seattle area back in July and February. We also incurred a onetime expense during the first quarter related to concluding an open item with a seller of a property that we had previously acquired. Notwithstanding these expenses, we remain on track in terms of our guidance for the year. Along with working to enhance our portfolio through our leasing initiatives, we are also working to enhance our financial flexibility, especially in light of the recent banking turmoil. During the first quarter, we extended the maturity date of our credit facility. While the facility wasn't scheduled to mature until next year, we extended the maturity date out to four years from now with the flexibility to extend it by as much as five years. Additionally, watching the interest rate swap market closely during the fourth quarter, we swapped top of our floating rate term loan, reducing our floating rate debt considerably.  Now I'll turn the call over to Michael Haines, our CFO, to take you through the details. Mike?
Michael Haines: Thanks, Stuart. GAAP net income attributable to common shareholders for the first quarter of 2023 was $8.1 million, equating to $0.06 per diluted share. Funds from operations for the first quarter totaled $33.8 million, equating to $0.25 per diluted share.  As Stuart touched on, during the first quarter, we had several expenses that impacted our first quarter results. That said, property-level rental revenue from the quarter actually came in above our budget such that actual GAAP operating income for the first quarter was fully in line with our budget, notwithstanding the added expenses. With respect to bad debt for the first quarter, that debt was approximately $1 million, which was below our budgeted amount of 1.5% of total revenue. The bulk of the $1 million related to a combination of the onetime expense that Stuart mentioned and various tenant account adjustments. In other words, the bulk of our first quarter net debt was not related to 10 vacancies. Overall, our tenant base continues to perform well. In terms of financing initiatives, as Stuart noted, during the first quarter, we extended the maturity date on our credit line. Specifically working with our banking group, we extended the maturity date from February 2024 to March 2027, with the flexibility to extend the maturity for another year to March 2028.  Additionally, borrowings on our line are now based on SOFR. We also have the flexibility to double the capacity on the credit line from its current capacity of $600 million, up to $1.2 billion. As of the end of the first quarter, we had just $67 million drawn on the line. As Stuart highlighted, we continue to watch the debt market closely with an eye towards reducing our floating rate path, namely our $300 million floating rate term loan. During the first quarter, we capitalized on a favorable window and entered into two interest rate swap are fixed interest rate on $150 million of our $300 million term loan, locking in the rate at 5.4% through August of next year. With the swaps in place, we lowered our floating rate debt from 28% of our total debt, where we were started 2023, down to 16% as of March 31.  Additionally, in terms of the company's interest expense, our initial budget for 2023 assumed that the interest rate on our $300 million term loan would remain floating throughout the year. Having put the swaps in place, we estimate it could lower our overall actual interest expense for the year by $0.5 million more depending upon the trajectory of interest rates as the year progresses.  In terms of the $150 million that is still floating, we purposely held off swapping it out in order to give us flexibility in terms of refinancing options later in the year, including possibly refinancing the $150 million, together with the $250 million of fixed rate positive mature in December. Additionally, the term loan is repayable in full or part at any time and doesn't mature until another two years, which also gives us considerable flexibility regarding refinancing strategies. Lastly, in terms of mortgage debt, with the banking terminal, there is currently a lot of concern regarding the commercial real estate lending market, particularly as it relates to mortgage refinancings going forward. Given the original banks hold the bulk of mortgage debt, fortunately, we only had two mortgage loans on our balance sheet that together totaled about $61 million, one matures next year and the other matures in 2025. Our plan is to refinance both loans with unsecured debt. Now I'll turn the call over to Rich Schoebel, our COO. Rich?
Richard Schoebel: Thanks, Mike. While the first quarter of each year has traditionally been relatively quiet in terms of leasing activity following the holiday season as existing and prospective tenants evaluate and set plans for the new year. In distinct contrast, in recent years, the first quarter has become increasingly active across our portfolio with more and more tenants buying for any space that may have become available following the holiday season. This is especially the case as it relates to shop space, where we continue to see a growing number of franchisees seeking to expand not only in the quick-serve restaurant sector, but more and more in the medical, wellness and self-care sectors, along with boutique fitness and child development. A number of which are bringing new concepts to the market and all continue to seek out grocery-anchored shopping centers. Capitalizing on the demand, we posted our most active quarter on record for the company, leasing over 559,000 square feet. Additionally, our robust leasing activity helped drive our portfolio lease rate to a new record high of 98.3%. As Stuart highlighted, the bulk of our leasing activity centered around tenant renewals. Specifically, during the first quarter, 512,000 of the 559,000 square feet that we leased involved renewing existing tenants.  In terms of anchor space, at the start of 2023, we had a total of 393,000 square feet scheduled to roll during the course of the year. In just the first three months alone, we have already renewed 384,000 square feet of anchor tenants. Five of the anchor tenant renewals were long-standing supermarket tenants. Additionally, one of the anchor renewals involved a long-standing tenant whose lease wasn't scheduled to roll until 2028, but they came to us wanting to exercise their five-year option now and extend their lease through 2033.  We also had three anchor tenants that came to us about extending their five-year renewal option out to seven years. Taking all of our anchor renewal activity into account, as of March 31, we now have only three anchor leases scheduled to roll this year, two of which we expect to renew with one tenant seeking a seven-year extension instead of five, and they would also like to extend the leases similarly at several other locations within our portfolio that roll in future years. With respect to the third anchor lease, which is a 17,000 square foot space, we are currently in discussions with several prospective new tenants to lease the space where we expect to achieve a significant increase in rent. Looking out further in 2024, we currently have 13 anchor leases scheduled to roll, of which we expect that 12 will renew.  In terms of non-anchor space, at the start of the year, we had 466,000 square feet of shop space scheduled to roll. During the first quarter, we re-leased 175,000 square feet in total of shop space of which about three fourth of that were renewals. In terms of re-leasing rent growth, we posted another solid quarter, achieving an 11% increase in new leases signed during the first quarter and a 6% increase on renewals. Lastly, with respect to getting new tenants open and operating, we had another active successful quarter. At the start of the year, the spread between leased and build space stood at 3.9%, equating to $7.6 million of rent from new tenants that have not yet taken occupancy and commenced paying rent. During the first quarter, new tenants representing $2.1 million of the $7.6 million took occupancy, taking into account new leases signed during the first quarter. At March 31, the spread stood at 3.2%, representing $6.5 million of rent that has not yet commenced. We expect the bulk of the $6.5 million will come online as we move through the year. Now I'll turn the call back over to Stuart.
Stuart Tanz: Thanks, Rich. Our continued success with leasing and the ongoing demand for space against the backdrop of increasingly challenging and uncertain economic environment speaks volumes as to the fundamental strength of our portfolio and the benefits of our hands on approach.  As we continue to capitalize on the demand, we are focused on making the most of every opportunity to enhance our already strong necessity and service-based tenant mix. Importantly, as always, we continue to be disciplined and selective with the tenants that we are renewing and the new tenants that we are bringing to our portfolio. In terms of acquisitions and dispositions, we currently have one property under contract to sell for $15.4 million. It's a property up in the Portland market that we acquired back some years ago as a value-add reposition play. Since acquiring the property, we fully re-tenanted and remerchandised the center, increasing the NOI substantially along the way.  While the center is a stable property, it is one of the few properties in our portfolio that is not grocery anchored. Beyond this, we have several other properties that we are exploring selling. However, at the moment, we are currently holding off with moving forward until there's more clarity in the market. Just a few short months ago, the acquisition market was starting to show encouraging signs of becoming active and favorable again. However, the sum banking turmoil has caused traditional mortgage lenders and other capital sources as well as buyers and sellers to pull back significantly. As a result, activity in the market in terms of actual deals being consummated is currently very limited.  With respect to the few transactions that have occurred recently in the grocery-anchored sector on the West Coast, cap rates have been in the low-6s, but there hasn't been enough activity to really know with confidence where the market is heading.  While we are being patient, we continue to be proactively engaged and continue to have discussions with our off-market sources, so that we are in a strong position to move forward once there's clarity in the marketplace. Based on our experience over many years through numerous challenges, market conditions often change rapidly and opportunities quickly arise, especially in terms of off-market acquisitions.  In the meantime, we intend to continue working diligently in enhancing the value of our existing portfolio. Notwithstanding all of the various macroeconomic challenges, our portfolio remains rock solid, and the fundamental drivers of our grocery-anchored business remains sound. Now we will open up the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question will come from Craig Mailman of Citi. Your line is open.
Craig Mailman : Good morning, everyone. Hey, Stuart. How are you?
Stuart Tanz: How about you?
Craig Mailman : I'm doing good. I wanted to follow up on your kind of commentary on tenants looking to extend beyond that five-year term and maybe come in to you early. I guess other than the rent spreads that you're getting, which has been healthy, kind of what other concessions have you been looking for? Or are they willing to give up to go to lock in longer at this point?
Richard Schoebel: Sure. I mean it really depends on the situation. In a lot of cases, the tenant may come to us and have limited options remaining, and they want an additional option. And in exchange for that, we'll insist on additional committed term. In other situations, we may have two anchors that are expiring simultaneously, and we want to start splitting those expirations up so that we don't, in the future, have a bunch of anchor tenants expiring all in the same year.  So it really depends on every situation, and we evaluate those requests, and there's always some form of a trade-off where we're getting some form of value for that additional committed term.
Craig Mailman : When you say some for value, like are you looking -- are you able to put in better escalators? Are you getting kind of encumbrances taken off that they may have had on the parking field or kind of what's your goal to improve the NPV of those leases to go out kind of longer?
Stuart Tanz: Yeah. There's a number of items that we're dealing with in terms of this first one is ESG. We're able to very successfully incorporate now what we need at the property level from an ESG perspective.  Second thing is exclusive or uses in the leases. We're very active on that front to make sure we can do whatever we can. The third is no build zones from the anchor tenants. Give us the ability to build more pads and create more NOI going forward. So it's really a combination of a series of different things but we're trying to, obviously, in giving them more term, incorporate all of this in terms of the actual extension.
Craig Mailman : That's helpful. And then moving to the acquisition market. It sounds like you guys don't have anything under contract but at the time of our conference, it sounds like you had one deal. Can you kind of talk to what happened there? And then on kind of the discipline you have in the market, maybe the buyer pools that you've been talking to, the nature of the buyers. Just a little bit more color overall.
Stuart Tanz: Sure. Well, the buyer pool, I think as I mentioned in my prepared remarks, obviously, has thinned out. So as once in a while when we see a very good grocery drug act center come to the market, we are tracking things extremely closely. And -- but again, the buyer pools are very thin out there.  In terms of the deal that we currently have, that deal is still around for us. We're dealing with a couple of items at the property level, primarily some environmental issues. But that particular transaction is still on the table for us.  I will tell you, there's been a lot of ongoing discussions on OP units again with some of those sellers, which is encouraging. And then more importantly, we certainly have our pulse on a pipeline of off-market transactions, which we think will play certainly very well into our game plan as we move through the balance of the year on the external side.
Craig Mailman : And those I assume kind of it's still in that low 6% going in cap rate range?
Stuart Tanz: Yes. Most of the -- the very small number of deals that it had, which have been primarily 1031 buyers have traded in that high 5%, low 6% cap rate range.
Craig Mailman : Great. Thanks, Stuart. 
Stuart Tanz: Thank you. 
Operator: Thank you. One moment please for our next question. Our next question will come from Juan Sanabria of BMO Capital Markets. Your line is open.
Stuart Tanz: Good morning, Juan. 
Juan Sanabria : Good morning. Just hoping to -- if you could spend a little bit more time talking about some of the onetime expenses and where those are included in the P&L, just to have a better sense of what the growth forward run rate is? And I know you mentioned the snow removal cost, but anything kind of orbit above that would be helpful just to have some confidence on how to model and your conviction on the previous same-store NOI guidance range.
Michael Haines: Well, the snow removal cost, one is going to be in the operating expense, and I know it's because as Stuart mentioned the significant snowfall that occurred on the Pacific Northwest region, we had to plough parking lots numerous times, keep them open and operating. And then there was a onetime item where we finally resolved kind of a disputed issue with the seller of the property that we bought a couple of years ago, we finally came to resolution and took a bit of an expense on that side. I think that was in our other expense, not our operating expenses. So those -- if you exclude those, I think our operating performance is right in line with budget.
Stuart Tanz: Yeah. I mean, look, in terms of modeling, obviously, we do very detailed budgets every year, and we incorporate increases in expenses in those buckets. So going forward, Juan, I don't think you're going to see. Hopefully, we won't see any items like you've seen in the first quarter, which, again, are very, very focused and relative to situations that were out of our control.
Juan Sanabria : And how much was that the onetime item with the dispute with the seller, roughly?
Michael Haines: It was just over $300,000, I believe.
Juan Sanabria : Okay. And then just curious, you mentioned bad debt was kind of running in line. What's assumed for the balance of the year? You've obviously had some known kind of tenants finally fall out just if you could remind us of your exposure, which I think is fairly de minimis, but what's assumed for the balance of the year, given we're already almost in May, which is kind of crazy to think about. But just.
Michael Haines: The range for the full year is the $3 million to $5 million, which should more than -- Morgan covers our typical operating and any other onetime that might pop up. To your point, I think we have very minimal exposure to any of the headline retailers out there. So that $3 million to $5 million range for the entire year should stand well.
Juan Sanabria : Thank you very much. 
Operator: Thank you. Again, one moment for our next question. Our next question will come from Lizzy Doykan of Bank of America. Your line is open.
Lizzy Doykan : Good morning. 
Stuart Tanz: Good morning. 
Lizzy Doykan : I was just curious about any changes in your assumptions around the pace or amount of acquisitions and dispositions that was put out in guidance from last quarter. I guess, would you be willing to take on slightly higher leverage? Or is the priority still on maintaining net debt to EBITDA in the low-6s as you put out last quarter? Just wanted to see if there's any changes in the pace -- assumptions on pace.
Stuart Tanz: Yeah. I mean, I'll speak to the -- Mike, you can answer the question on the second half of the question. But in terms of guidance, I mean, we're still on track to get $200 million as the goal this year. Obviously, that will be funded a lot through sales and other things that we're doing. But the -- there's no change to guidance. The more important thing is that we have guided and modeled the acquisitions in the second half of the year.
Michael Haines: In relation to our debt leverage ratio, that's all keeping those intact where they are or lowering them.
Lizzy Doykan : Got it. Thanks. And I wanted to dig into the guide on same-store NOI growth just a bit more. Are we still assuming that range of 3% to 5%? And just given that the spread on snow seems to remain the same or that didn't change. Just wondering if there's any changes to your outlook on the assumptions leading to the bottom and the top end of that range?
Michael Haines: No, I would say our internal budget actually had same-center NOI growth starting out slightly down in the first quarter, and then steadily ramping up as we move through the year. So at this point, four months in the year, we're still on track to achieve same-center NOI growth for the full year. That's within that guidance range that we put out earlier, including potentially even the higher end of the range. So we're still comfortable with that range as we stand today.
Lizzy Doykan : Okay. Thanks. And lastly, if I could just get the latest update on your densification efforts. I guess, what's the latest on entitlement efforts at Crossroads? And then maybe the couple of others you had mentioned last quarter.
Stuart Tanz: Sure. Well, Panola is fully done and fully entitled and we're just waiting for the right moment in time to put that on the market and sell it. Panola we're getting very close to getting final entitlements, probably another 60 to 90 days out, maybe a bit longer.
Michael Haines: You said Panola. You meant Novato.
Stuart Tanz: I meant, sorry. Novato, not Panola. And then in Bellevue, in terms of construction on Phase 2 at Crossroads, we're currently moving through the permitting process, which we now expect to be completed probably by the end of the third quarter. Although it's difficult to gauge given the pace that the municipality tends to operate at. But once we complete the process at that time, we will determine whether or not to commence construction or wait until there is more clarity in the marketplace.
Lizzy Doykan : Okay. Got it. So just to clarify, I guess, the biggest hindrances are still the same factors as it has been, just -- is it due to supply chain or just, I guess, the time line of seeing those delays?
Stuart Tanz: Yeah. I mean it's really more related to the city of Bellevue and the process internally than it is to supply chain or other things. So -- but again, we're anticipating that. Hopefully, we get through -- finally get through this process towards the third quarter, maybe the end. But again, it's outside of our control.
Lizzy Doykan : Got it. Thank you. 
Stuart Tanz: Thank you. 
Operator: Thank you. And one moment please for our next question. Our next question will come from Todd Thomas of KeyBanc Capital Markets. Your line is open.
Stuart Tanz: Good morning, Todd. 
Todd Thomas : Hi, good morning. I just had a question back on leasing and sort of the rent spreads. The portfolio is 98.3% leased and leasing production was very strong in the quarter. Rent spreads have been solid over the last several quarters, but just curious why leasing spreads are not even stronger just given how little space you have to lease within the portfolio, whether you're taking a more conservative approach with regard to rents in order to stimulate leasing demand or maybe it's a mix issue. Can you just talk about that and whether you expect to see pricing power begin to improve a little bit more in the near term?
Richard Schoebel: Sure. I mean, obviously, some of that's dictated by the specific leases that we're getting back in terms of where they were at and what the market rents are, but there are a lot of leases that are scheduled to roll that are below and significantly below market, where we'll see some really good lifts. And then on the renewal side, that is also impacted by options, which are already baked in, and we don't have any control over those rent spreads. But as you say, with occupancy, it really does give us the leverage and the right opportunities to drive the rents when we have that opportunity.
Todd Thomas : Okay. If we look ahead to the balance of 2023 and also 2024 expirations, what's the mix like between leases with option rents versus those that you'd be able to renew or negotiate a fair market value?
Richard Schoebel: I don't have a specific percentage that do not have options, but there are. Some of these properties where the leases have been in place for a while, they are starting to burn off their options. That's what is driving some anchor tenants to come to us early to secure additional options, particularly in the situation where they want to invest capital in the space.  So it's hard to give you a specific number or range, but we would expect that it will be consistent with our past performance.
Todd Thomas : Okay. And then, Mike, I think you touched on this briefly, but maybe you could just add a little bit more detail or provide some thoughts on the remaining $150 million portion of the term loan that's still floating, whether -- or if there's an incremental amount of that $150 million variable rate that you might look to swap out. And you talked about the unsecured maturity later this year. Where do you think pricing would be today for 10-year notes?
Michael Haines: Let me address the second part of your question first. I think today, I think the 10 year is around 3 40 or maybe 3 50, it kind of bounces around. I would expect to do a 10-year deal probably in the low to mid-6% range today, given where spreads are. I have to keep my where the 10-year treasury goes from here.  But as far as the swapping goes, we wanted to maintain as much flexibility as possible. Our goal is to refinance the $250 million that are due in December with a new public bond issuance and to achieve reasonable investor interest and hopefully better pricing. We look to issue up to maybe $400 million of public bonds. So by refinancing the $150 million of the term loan with those 23 bonds to get a total of $400 million. That leaves the part of a swap looking into next year when we have another 250 million bonds ensuring it end of 2024. We could again look to do another $400 million bond deal, refinancing that along with the $150 million that we set, which then becomes available to date off. So it's kind of a flexibility issue of doing kind of two back to back $400 million deals, splitting the term loan and refinancing of our two public bond issues that they mature.
Todd Thomas : Okay. Got it. That's helpful. And then I think you said as it pertains to the full year guidance that as a result of the swaps that you put in place during the quarter, that interest expense is now expected to be about $500,000 lower than the initial guide. Is that right?
Michael Haines: Yeah, that's right. Where the curve was, and we really modeled the term loan to float all year long. And when we did the model for the initial guidance. It's where the curve was at the time. And as you know, that's moving around a little bit. But based on the original curve and the expected interest that swapping we'll see about $0.5 million or more.
Todd Thomas : Okay. But outside of the December maturity and what you might do there, there is no additional capital raising activity embedded in the guidance?
Michael Haines: Correct. That's correct.
Todd Thomas : Okay, great. Thank you. 
Operator: Thank you. One moment for our next question. Our next question will come from Wes Golladay of Baird. Your line is open.
Wes Golladay : Hey, good morning, Stuart. Follow-up question on the tenant health in the portfolio. Can you comment on your overall exposure to some of these branches of the banks that are in the news every day or -- not every day, but every so often? And then second follow-up would be exposure to Bed Bath & Beyond. It looks like you have one buybuy BABY. I just wanted to make sure that, that was correct. And then just the final one, can you comment on your Rite Aid exposure? And how do you feel about that? Would you look to recapture any of the space this year?
Stuart Tanz: Sure. Well, Bed Bath & Beyond, we don't have any -- we do have two buybuy BABYs. But the ABR only accounts for 0.038%. So less than a half of 1% from an ABR perspective. These two buyback babies are in great locations, very strong sales. We don't expect these leases to be rejected. However, we certainly have been very active in the market re-leasing both spaces, and we currently do have some very good tenants lined up if things were to go away. Rich, do you want to comment on bank branches and Rite Aid?
Richard Schoebel: Sure. In terms of Rite Aid, there's only -- they only account for about 1.7% of our total base rent, which is from about 16 leases, which are across our portfolio in all of our markets with many of those leases below market. One of the leases coming up in the next two years is a Rite Aid lease that is significantly in market. It's one that we mentioned that is not renewing. We expect to have a very big spread on the replacement rent. And then in terms of bank branches, we really haven't seen any follow-up from regional banks. We have received notice from some larger banks that they're giving back some space, but those spaces that we're getting back all incorporate drive-throughs, and we're currently -- while the rents still coming in, redesigning those buildings to facilitate the strong demand that we have for drive-throughs throughout the West Coast.  So we actually see this as an opportunity to retenant those spaces.
Stuart Tanz: Yeah. In fact, in one situation, I think, during the quarter, Rich, we had Chase actually released a new lease on a Bank of America branch. So although we've seen a bit of fallout, we've also seen some activity on the other side in terms of new leasing. And then Rite Aid, I mean, I think as we've mentioned before, obviously, a number of our Rite Aids are newer prototypes, which means they're on pads with drive-thrus.  And in terms of sales, a number of our Rite Aids are in the top three in terms of sales. So we've seen this sort of play out before over the last 20 years in terms of dealing with Rite Aid. And we certainly feel quite comfortable where our portfolio stands today in terms of capturing and getting some nice upside of Rite Aid where to go away.
Wes Golladay : Fantastic. And then, I guess a quick modeling question, looks like other revenue was abnormally low this quarter, anything special going on there?
Richard Schoebel: Actually, last year, the other income was a lot higher, it was primarily related to an early lease recapture initiative, where we replaced an existing tenant. So that was kind of it was actually last year was the outlier.
Wes Golladay : Okay, fantastic. And I think that is it for me. I appreciate the time guys.
Stuart Tanz: Great, thank you.
Operator: Thank you. Again, one moment for our next question. Our next question will come from Michael Mueller of JPMorgan. Your line is open.
Stuart Tanz: Good morning. 
Michael Mueller : Hey, good, good talk to you. You mentioned earlier in your comments that there's some other centers that you're thinking about listing for sale. And just curious about, how big that bucket of centers is, and what are some of the attributes of those? 
Stuart Tanz: Sure. Well, we actually have, I think it's the only other center that's non-grocery anchored, we actually have on the market as well. And we actually do have an LOI that came in yesterday that we may execute on. So that potentially gives us another, I don't know, $12 million or $14 million of proceeds.  But outside of those two assets, we are looking at putting a couple of other stabilized fully leased assets on the market that have very little internal growth, like the one we're currently selling in Portland on the market as well. And so the bucket does answer your question is probably four to six centers, depending on market conditions, and depending on pricing more than anything else.
Michael Mueller : Got it. And that's four to six exclusive of the two that we know about?
Stuart Tanz: That's correct. And that does exclude the densification as well. So I'm hoping that the multifamily market gets a bit better and we're ready to go on selling both of those assets, which could provide another that's called $20 million to $25 million of proceeds.
Michael Mueller : Got it. Okay, thank you.
Stuart Tanz: Thank you.
Operator: Thank you. Again, one moment, please for our next question. Our next question will come from Linda Tsai with Jefferies. Your line is open. 
Stuart Tanz: Good morning, Linda.
Linda Tsai : Good morning. In terms of the $400 million bond at year end, where would that price today?
Richard Schoebel: Today, it would probably be in the low to mid 6% range, assuming a tenure at about 350 or 340.
Linda Tsai : Thank you. And then how much more does the drive thru benefit the cap rate of one in your shopping centers?
Richard Schoebel: In terms of our paths? The drive throughs certainly would certainly -- I think it certainly helps the process, but it's not going to drive cap rate by any meaningful difference. I think, drive throughs are more related to leasing and the incremental increase you get in leasing and in terms of rent. But from an acquisition or disposition perspective, we look at it as part of the overall property and NOI.
Linda Tsai : Thanks for that. And then, in terms of your 9%, Kroger and Albertsons exposure, has there been further communication of potential overlap?
Stuart Tanz: While we continue to communicate regularly with both Kroger and Albertsons and conduct business as usual, including renewing leases. We're just not at liberty yet to discuss their consolidation plans and. And it's just too early in the process in terms of the government and the FTC in terms of the process.
Linda Tsai : And then maybe just in terms of potential buyers for your 46 centers, how focused are they on potentially inheriting SpinCo assets?
Stuart Tanz: It hasn't come up at all in terms of the discussions. The one or two deals on the market that have Albertsons and or Safeway, I don't think that's had much impact either to tell you the truth from a pricing perspective. So it really, there's not I mean -- obviously, there's a lot of noise around this. But it really on the ground hasn't had very little impact from a pricing perspective. Because at the end of the day, you're really looking at the attributes of the real estate and more importantly, the sales and the economic aspects of what you're buying as it relates to Kroger or Safeway anchor tenants. 
Linda Tsai : Thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from Paulina Rojas Schmidt of Green Street. Your line is open.
Stuart Tanz: Good morning. 
Paulina Rojas Schmidt : Good morning. My question is about occupancy costs. So we usually think about occupancy costs for anchors. And I wonder, do you track that metric at all for your small shop tenants? And even if you do loosely, how would you say that has evolved? Or how does it compare relative to the past?
Stuart Tanz: Sure, Rich, do you want to?
Richard Schoebel: Yeah, I mean, we always pay close attention to the occupancy costs, because that has a big effect on how much rent we can get out of the tenants. And the things that we have control over, such as the operating expenses we stay very focused on keeping them as low as possible. But the overall the tenants continue to perform well, the occupancy costs are sustainable. And, we're not getting any pushback from tenants on the renewal side in terms of their occupancy costs.
Paulina Rojas Schmidt : Thank you. And then one last question. You mentioned a couple of times that you have seen very few transactions, but the one that you have seen close to being the west coast of being a low-6s. And I'm curious, do you your view, has the quality of those strength assets that have constructed and in similar to your portfolio, are they representative for your portfolio?
Richard Schoebel: Again, very few transactions to talk about. These have been high, pretty good quality, stabilized grocery anchored centers. I would tell you that certainly, the quality of the assets have been there. But these assets are newer in nature. And therefore rents in terms of creating NOI growth at the property level has not been that strong, because there were brand new leases.  So we continue to monitor obviously, the market very closely. But most of these deals and again, very few of them that have traded, these have been very stabilized newer assets. So the cap rates sort of reflect in my view, not a lot of internal growth, because there's just -- they're typically 100% occupied.
Paulina Rojas Schmidt : Thank you. That's all.
Operator: Thank you. I'm seeing no further questions in the queue. I would now like to turn the conference back to Stuart Tanz for closing remarks.
Stuart Tanz: In closing, thanks to all of you for joining us today. As always, we appreciate your interest in ROIC. If you have any additional questions, please contact Mike, Rich or me directly. Also, you can find additional information to the company's quarterly supplemental package which is posted on our website, as well as our 10-Q. And lastly, for those of you who are attending ICSC convention in Las Vegas next month, please stop by our booth. We will be in the South Hall on level one specifically booth number 807. We hope to see you there. And thanks again and have a great day everyone.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect. And have a pleasant day.